Operator: Good afternoon, everyone, and welcome to the second quarter June 30, 2019, financial results conference call for American Shared Hospital Services. [Operator Instructions].I will now turn the call over to Vivian Cervantes with Investor Relations.
Vivian Cervantes: Thank you, Operator. Before turning the call over to management, I would like to make the following remarks concerning forward-looking statements. Please note that various remarks that we may make on this conference call about future expectations, plans and prospects for the company constitute forward-looking statements for the purposes of safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may vary materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company's filings with the SEC, including the company's annual report on Form 10-K for the year ended December 31, 2018, its quarterly report on Form 10-Q for the 3 months ended March 31, 2019, and the definitive proxy statement for the Annual Meeting of Shareholders held on June 21, 2019. The company assumes no obligation to update the information contained in this conference call.I would now like to turn the call over to Craig Tagawa, Chief Operating and Financial Officer.
Craig Tagawa: Thank you, Vivian. Good afternoon to all of you who are joining us today, and thank you for joining our second quarter 2019 earnings conference call. I will walk through our business and operational results. Alexis Wallace, our controller, will then provide our financial review. Following that, Dr. Bates, Alexis Wallace, Ernie Bates and myself will open the call for your questions.Our proton therapy business continues to post growth with Orlando Health reporting steady increases in proton fractions, which was up 111 or 9% to 1,409 during the quarter, this despite 3 days of off time for system maintenance. Combined with relatively stable reimbursement, proton therapy revenues increased 3% in the quarter. We continue to note awareness gains on proton therapies, therapeutic benefits across indications. Therefore, we remain actively engaged to advance our development pipeline in this business.Turning to the Gamma Knife. Owing to a labor dispute at one site where no treatments were performed during the quarter, procedures in the second quarter declined by 16 or 4% to 361 versus the comparable year ago period. The site in question began treating patients again in July 2019.We also saw some pressure from a higher payer mix of Medicare patients, which impacted our retail sites. Excluding these and with the benefit from a contractual adjustment to Medicare reimbursement at one site, Gamma Knife revenues were up 0.2% quarter-over-quarter. We remain optimistic about increased Gamma Knife procedure volumes going forward with the onetime business interruption settled and as we look forward to normalized clinical turnover in certain sites.We also continue to make progress with the upgrade of at least 3 of our Gamma Knife units to Icon in the next 3 -- 6 to 9 months, allowing us to target larger tumors for incremental revenue opportunities. We continue to expect completion of our Icon upgrade at Kettering Medical Center in Ohio in the third quarter of 2019.I will now turn the call over to Alexis for a detailed financial discussion.
Alexis Wallace: Thank you, Craig. Good afternoon. Before I begin my prepared remarks, I'd like to call your attention to our second quarter 2019 earnings results issued this morning. For the 3 months ended June 30, 2019, revenues increased 0.5% to $5,197,000 compared to revenues of $5,169,000 for the second quarter of 2018. Second quarter revenue for the company's initial proton therapy system installed at Orlando Health in Florida increased 3.4% to $1,409,000 compared to revenue for the second quarter of 2018 of $1,363,000.Revenue for the company's Gamma Knife operations increased 0.2% to $3,600,000 for the second quarter of 2019 compared to $3,594,000 for the second quarter of 2018, adjusting for contractual Medicare reimbursement at one site. Excluding this adjustment, revenue declined 11% to $3.2 million. The decline was also due to business disruption from labor disputes, some pressure from lower Medicare reimbursement at our retail sites and the expiration of 2 customer contracts in April 2018 and January 2019. Gross margin for the second quarter of 2019 decreased to $1,729,000 or 33.3% of revenue compared to gross margin of $2,081,000 or 40.3% of revenue for the second quarter of 2018. This reflected an increase in costs of revenue primarily attributable to depreciation expense and increased volume and administrative costs.Net income for the second quarter of 2019 was $31,000 or $0.01 per share. This compares to net income for the second quarter of 2018 of $287,000 or $0.5 per share. Adjusted EBITDA, a non-GAAP financial measure, was $2,465,000 for the second quarter of 2019 compared to $2,561,000 for the second quarter of 2018. At June 30, 2019, cash, cash equivalents and restricted cash was $2,256,000 compared to $1,792,000 at December 31, 2018. Shareholders' equity at June 30, 2019, was $31,754,000 or $5.46 per outstanding share. This compares to shareholders' equity at December 31, 2018, of $31,048,000 or $5.43 per outstanding share.This concludes the formal part of our presentation. James, we'd like to turn the call back over to you for questions.
Operator: [Operator Instructions]. Our first question comes from Robert Bacci [ph], a Private Investor.
Unidentified Analyst: Yes. I'm very interested in knowing our investment in MEVION. Do we still have it? If we do, is it an American company or a Chinese company? I'd like to know how it's doing. And if there's any -- I know it's a private company, but somebody here has the information as to how it's doing as far as the growth. And I'd like to know if there's any new possibilities with the major contracts for the equipment.
Craig Tagawa: Well, what I could tell you is that we no longer have a investment in MEVION. I think that was announced several quarters ago due to the merger. And both Chinese investment companies have bought interest in MEVION, so I think it probably is majority-owned, if not wholly owned by Chinese investment companies. And they continue to sell units. They just recently announced that they are putting the second unit in at Barnes-Jewish Hospital. So you can look at their website and you can see some of the activity that they've had recently. As to their financial position, we're not privy to that as they're a private company and it's [indiscernible] transaction that we deal with them.
Unidentified Analyst: All right. How about new business for us? Any major contracts or equipment?
Craig Tagawa: We have not signed any definitive agreements with any hospitals for proton units, but we continue to work towards that to that end. And hopefully, we'll be able to announce something in the not-too-distant future.
Ernest Bates: Yes. This is Dr. Bates. We are negotiating with 2 hospitals in America, one down in Long Beach and the other in San Francisco, to put in proton machines, and these will be MEVION machines.
Unidentified Analyst: Good. All right. I'm glad you're still doing business with MEVION. At least that's going on.
Operator: Our next question from Lenny Dunn of Mutual Trust.
Leonard Dunn: Again, I am disappointed that we have not concluded at least the Southern California installation by now. Is that still on the cusp of getting done? It always seems like it's just out there over the horizon but not there.
Craig Tagawa: Yes. There's some things that have to get done before we can enter into an arrangement with the party that we're talking to. So there's some things outside of our control that need to be concluded first, so essentially, a two-pronged transaction. And the first step hasn't been completed yet, although we expect it to be completed shortly.
Leonard Dunn: Yes. Because we were waiting almost all year for that one. The San Francisco one, do you think that will get done before the end of the year? Or do you think that it could be a next-year story?
Ernest Bates: Yes, we're hoping that both of these will get done before the end of the year. We're expecting the one done in Long Beach to be the first one.
Leonard Dunn: So is it potentially in another month or so we can see Long Beach, and another 2 or 3 months, we can see San Francisco?
Craig Tagawa: It might take a little longer than that to get all the documentation done, but we're going to move as fast as we can because we think they're both good transactions for the company.
Leonard Dunn: Okay. Well, obviously, move as fast as you can, but it's certainly taking terribly long. The other thing is with this labor problem. It just seems like that could have been sold sooner, but I guess it is beyond your control as the hospital does that. And the -- you would think that with patients waiting for necessary procedures, that you wouldn't have that type of labor problem, but maybe you could explain that a little better.
Craig Tagawa: As you said, it was outside of our control. We don't contract with the clinical staff. So there was nothing we can do. We tried to expedite it by getting additional people trained. But ultimately, I think they reached an arrangement with the clinical team. And for the long term, it's a 10-year contract. It was the best thing to have everybody on the same page. So I think it got settled amicably, and we're now quite busy again. So we're pleased that it's over with.
Leonard Dunn: Okay. Clearly also, if we had -- take a number of 3 more Gamma Knifes in place, then we wouldn't be hurt as badly if that type of situation comes up because it seems like we've had one thing or another and with Gamma Knife being down over the last couple of years. And the clear answer is that if you've got a larger installed base, any one unit doesn't hurt you as much. Are we working to get more Gamma Knifes out there?
Craig Tagawa: Yes. We're still pursuing that, both in the United States and internationally. And we've always looked at the portfolio approach that if you have enough of them, that 1 being down or underperforming for a period of time due to issues, they would be made up by the portfolio. With the Gamma Knife, it does have Cobalt-60. So to do a reload, it usually takes 2 to 3 weeks where we'll be down. And the Icon upgrades take anywhere from -- if we do a reload at the same time, it's 4 to 5 weeks. So we're going to have these interruptions in the next 6 to 9 months as we do reloads and Icon upgrades.
Leonard Dunn: Again, the answer is they have more of them out there so any one doesn't cause that type of problem. The other thing is our book value is almost twice the share price, not quite, I'm probably exaggerating a little, but there's a huge disparity. And I think part of the disparity is not getting some of these contracts that we keep getting promised. But a lot of it is due to the fact that this is a microcap stock, and you do not have a large-enough audience. And the people that own it are being very patient, including me, but the problem is you don't do enough things to get yourself out there. I would love to see you do a minimum of 3 road shows in a year, maybe even 4, so we have exposure to these more -- there's a lot of microcap institutions out there. You don't need too many to buy in to give you a more stable base. So can things get this exposed?
Craig Tagawa: Yes, we will be presenting at the Sidoti conference in September, and we'll look at some others as well with [indiscernible].
Leonard Dunn: I know that you mentioned in a prior call that you're going to be in Sidoti in September. But if you could try to plan it, have at least 3 or 4 every year, I mean, you got to -- you have to get out there and let people know what you're doing so that you have more than a few people watching you. So I hope you can be a little more aggressive about presenting going forward.
Craig Tagawa: Okay. Point well taken, Lenny.
Operator: There are no further questions, so we are now turning the call back to Dr. Bates for concluding remarks.
Ernest Bates: Thank you again for joining us this afternoon. In summary, our approach on operation continues to post growth, and we remain driven to replicate success in Orlando Health. In Gamma Knife, we are optimistic of business improvement with 3 relatively new centers gaining traction, with the upgrade to Icon allowing us to capture incremental revenue opportunities in large tumors. Kettering Medical is the first, but it needs three planned upgrades in the next 6 to 9 months. We look forward to speaking with you in our third quarter 2019 conference call in November. Thank you again.